Operator: This afternoon, Bohn Crain, Radiant Logistics' Founder and CEO; and Radiant's Chief Financial Officer, Todd Macomber, will discuss financial results for the company's first fiscal quarter ended September 30, 2014. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes.
 This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements.
 While it is impossible to identify all factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past, and may in the future, be identified in the company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily any indication of future performance.
 Now I'd like to pass the call over to Radiant's Founder and CEO, Bohn Crain. Please go ahead. 
Bohn Crain: Thank you. Good afternoon, everyone, and thank you for joining in on today's call. We continue to make steady progress in growing our revenues and gross margin dollars and driving margin expansion and earnings growth across the platform.
 For the quarter ended September 30, 2014, and relative to the comparable prior year period, revenues were up 28.1% to $98.2 million. Gross margin dollars were up 13.4% to $26.3 million. Adjusted EBITDA was up 17.7% to $3.7 million. And our adjusted EBITDA, expressed as a percentage of net revenues, was up 50 basis points to 13.9%.
 We also made some great progress with our organic network expansion, adding 5 new operating locations from 4 different competing networks in late September. On-boarding new strategic operating partners has historically been an important contributor to our organic growth, and we believe this group of new operating partners will contribute as much as $20 million in revenues and $1 million in incremental EBITDA to our bottom line on a run-rate basis starting in calendar year 2015.
 We seem to be gaining momentum in the agent-based forwarding community and with more and more entrepreneurs looking to align themselves with a strong financial partner with the technology, purchasing power and global network to deliver world-class solutions to their customers. We are in active discussions with a number of additional agent-station candidates and look forward to providing further updates as we welcome new partners to the network.
 For those of you that have been following us from the earlier years, you will remember that we acquired Airgroup, our platform acquisition, back in 2006, and then proceeded to double the business over the next 18 months, growing it from $50 million to $100 million in revenue, principally by attracting new operating partners to our platform.
 Here we go again. As we've discussed previously, our incremental cost of supporting that next dollar of gross margin is very small, and on-boarding these new stations is a very powerful, cost-effective way to leverage our platform to drive earnings growth.
 For emphasis, I want to mention it again that over the span of 2 weeks, we on-boarded 5 locations from 4 different networks. That's 4 different networks we were able to attract stations from. We believe this highlights the broad appeal of our value proposition in the marketplace, and there's more in the pipeline.
 In addition to our recent success in attracting new agent partners to the network, we continue to enjoy significant financial flexibility to accelerate our growth via acquisitions, which may include the acquisition of existing operating partners, the acquisition of agent stations participating in competing networks and given the opportunity, the acquisition of other competing networks.
 In addition, we also have an interest in pursuing other non-asset-based acquisition opportunities that bring critical mass from a geographic standpoint, purchasing power and/or complementary service offerings to the current platform. We continue to cultivate a pipeline of acquisition opportunities meeting these criteria and have some interesting candidates under review and look forward to sharing additional information on this front as things develop.
 Moving on to the outlook. We are providing guidance for the upcoming quarter ended December 31, and excluding the impact of any further acquisitions or other unusual items, we are projecting adjusted EBITDA in the range of $3.8 million to $4.3 million on approximately $103 million to $108 million in revenues. This equates to adjusted net income available to common shareholders in the range of $1.6 million to $1.9 million, or $0.05 per basic and $0.04 to $0.05 per fully diluted share.
 These projections assume that any incremental EBITDA contributions from the 5 new operating locations will be offset by nonrecurring integration/on-boarding costs in the quarter ended December, with the true incremental run rate EBITDA contribution for these locations first reflected in our quarter ended March 31, '15.
 As with our previous communications, we would also like to remind investors that our free cash flow is generally higher than our net income because we have significant noncash depreciation and amortization expenses flowing through our financial statements as a result of the mechanics of accounting for acquisitions and the fact that we have minimal maintenance capital expenditure requirements.
 This remains a very exciting time in the evolution of Radiant, and we remain confident that our growth strategy will continue to bring value to our operating partners, shareholders and the end customers that we serve.
 I will now turn it over to Todd Macomber, our CFO, to walk us through our financial results, and then we will open it up for Q&A. 
Todd Macomber: Thanks, Bohn, and good afternoon, everyone. Today, we will be discussing our financial results, including adjusted net income and adjusted EBITDA for the 3 months ended September 30, 2014.
 In reviewing net income. For the 3 months ended September 30, 2014, we reported net income attributable to common stockholders of $1,009,000 on $98.2 million of revenues or $0.03 per basic and fully diluted share, including a $550,000 gain on change in contingent consideration.
 For the 3 months ended September 30, 2013, we reported net income attributable to common stockholders of $1,092,000 on $76.7 million of revenues or $0.03 per basic and fully diluted share, including a $195,000 gain on change in contingent consideration. This represents a decrease of approximately $82,000 or approximately 7.5% over the comparable prior year period.
 Reviewing adjusted net income. For the 3 months ended September 30, 2014, we reported adjusted net income attributable to common stockholders of $1,518,000 or $0.04 per basic and fully diluted share. For the 3 months ended September 30, 2013, we reported adjusted net income attributable to common stockholders of $1,528,000 or $0.05 per basic and $0.04 per fully diluted share, a decrease of approximately $10,000 or less than 1%.
 In reviewing adjusted EBITDA. We reported adjusted EBITDA of $3,662,000 for the 3 months ended September 30, 2014, compared to adjusted EBITDA of $3,112,000 for the 3 months ended September 30, 2013. This represents an increase of $550,000 or approximately 17.7% over the comparable prior year period 
 With that, I will turn the call back over to our moderator to facilitate any Q&A from our callers. 
Operator: [Operator Instructions] Our first question today comes from Sal Vitale of Sterne Agee. 
Salvatore Vitale: So just a quick question, just to start it off. I mean, you highlighted in your 10-Q that the agent commission costs were a little bit higher due to mix, namely more domestic business, a higher mix of domestic business. Can you just flesh that out a little bit? I mean, how should we think about that going forward? And just refresh my memory on why higher -- why domestic business necessarily has a higher agent commission cost? 
Bohn Crain: Yes, Sal, this is Bohn,. I'll take the first crack at it, just to kind of recap. As we think about our 2 broad categories of services, the domestic and international services, we generally share in the gross margins for domestic services expressed as a percentage of the gross billing; and for international services share in the gross billings as a -- for international share in the gross margins expressed as a percentage of the gross margins. So that needs to kind of be as background for folks who might not be familiar with that aspect of the business. So as -- in this particular quarter on some of the agent business, if we looked at it on a comparable year-over-year basis, we saw some international business, some project-type business that landed in the prior -- in the comparable year, prior year period that's not in this period. So on a year-over-year basis, the kind of the compression, if that's the right term, on the international side was tied to some international project-type business. But then effectively, we have less sensitivity to that because it ultimately reflects back in the agent commission because they did a relative kind of the house or the corporate's relative participation on the gross margins from international business managed by the agent stations is smaller, so there's -- we have less of an ultimate sensitivity to our bottom line resulting from that international business. So that was a mouthful, I don't know if that's a -- if I got to your question or not, you can ask again if there's more. 
Salvatore Vitale: Well, I guess, how do I think about that in terms of the out quarters for the rest of the fiscal year, how that develops? I mean, do you have any view on that? 
Bohn Crain: Well, I think ultimately, it depends on what's happening in the field and with our agent stations and from the -- a couple of broad comments. One, ultimately, we're most interested, as we always say, in driving growth in our gross margin dollars, and then getting as many of those gross margin dollars to the bottom line as we can. And ultimately, those metrics are going to be impacted not only by what's going on in the field of our existing stations, but what are the characteristics of the new folks coming to the party, whether it's a new agent station joining, like the 5 new locations that just came on, or an individual acquisition that could occur. It ultimately depends on the bare underlying book of business and what they're bringing to the table. So if they're more heavily domestic-oriented, then we would expect that to potentially carry higher gross margins. In the alternative, if their individual mix of business is more weighted to the international side, then on a gross margin percentage basis, then that's going to compress gross margin percentage. Again -- but again, we're most keen on kind of the absolute growth in gross margin dollars. 
Salvatore Vitale: Okay. And then the other question, shifting gears, is on the guidance you gave for the December quarter. So you highlighted that you probably won't see too much of an EBITDA -- of an adjusted EBITDA contribution from the 5 locations that you added at the end of the September quarter. You probably won't see the contribution until the March quarter because of -- you highlighted on-boarding costs and nonrecurring items. Can you quantify what those on-boarding costs and nonrecurring items are? Just trying to get a sense for, absent those items, what would the EBITDA look like for the December quarter? 
Bohn Crain: Well, what I was -- specifically, what we are specifically trying to kind of highlight relative to that point is -- well, let me back up and make a broader point in the context of this question. When we think about organic growth, we've got 2 flavors of organic growth. We've got traditional same-store growth as well as on-boarding these new agent stations that effectively vote with their feet, leave their prior networks and come join our platform. Well, when they come and join us, we're not acquiring those guys, right? So we're not making a big capital investment in connection with them coming over. But it is common practice that in connection with kind of creating the overall financial package or arrangement that would have them come our way would include what I'll call a commission holiday. So we'll say, we're not going to write you a big check to come over, but come join our network and we won't charge you any commissions for a month or 2 as part of the incentive to get you coming. And so we're handling all the business, but we're not -- no pennies are falling to our bottom line during that holiday period. So that's the mechanism that will ultimately have exhausted itself through December 31, and then we will get the fruits of our labor starting in the quarter ended March. 
Salvatore Vitale: Okay. Well, that's fair. But is there any way you can quantify what those amounts would be? So in other words, what would -- absent that, what would your adjusted EBITDA guidance look like for the December quarter? 
Bohn Crain: Well, I think what you would use is the kind of the other data points that we've provided, which we have conservatively characterized those stations as adding an incremental million dollars of EBITDA on a run rate basis. So divide that by 4 and that should be... 
Salvatore Vitale: So it's about $0.25 million, essentially, per quarter... 
Bohn Crain: Subject to seasonality and some of the nuances, but paving -- keeping it at a reasonably high level, that's a fair way to think about it. 
Salvatore Vitale: Okay. And then just the last question, and I'll turn it over. Can you give us a sense for what your organic -- I guess on a net revenue basis, what your organic growth rate was? And then within organic, I guess what was same-store sales as opposed to new locations? 
Bohn Crain: Yes, let me -- I'm kind of looking at my notes here. I think we have on -- again, we didn't have the benefit of these new stores coming through. I think we were at 2% to 3% on a same-store basis for the quarter, if we looked at it on a... 
Salvatore Vitale: This is year-over-year, correct? 
Bohn Crain: Correct. Yes, on a comparative year-over-year basis. 
Salvatore Vitale: So that's 2% to 3% same-store. And I guess, then, overall organic, how do I think about that? 
Bohn Crain: I think that's in -- for the quarter, I don't -- I'm trying to just kind of do a little quick inventory. We didn't have any new -- I don't think we had any new stations come on until right at the end of September. So I think all of that is same-store and it will be -- so we didn't really have much of an impact to these 5 stations for the quarter because they literally came on like the last week of September or the last couple of weeks of September. So all that same-store, we didn't have any new store stations in the quarter. 
Operator: The next question comes from Jeff Martin of Roth Capital Partners. 
Jeff Martin: Bohn, could you give us a sense -- and just kind of piggyback on Sal's last question. I noticed pro forma in the 10-Q, you showed net revenue versus last year's pro forma up 6%. So is that -- is there something that bridges that gap between 2% to 3% organic same-store that you had mentioned in the 6% pro forma net revenue improvement? 
Bohn Crain: Well, the pro forma -- I think, definitionally, the answer would have to be On Time, right, because the real pro forma between the 2 would be On Time, right? 
Todd Macomber: Right. That's the difference is the acquisitions that weren't in there in the prior year, so On Time and Philadelphia. 
Jeff Martin: But pro forma assumes that acquisitions were included for the full period last year. 
Todd Macomber: Well, that's true. 
Jeff Martin: So maybe there's growth from On Time that bridges that gap? Is On Time growing? 
Bohn Crain: I think On Time is -- certainly at the top line revenue, is relatively flat or maybe modest growth. I wouldn't characterize them as a big grower in the results to date. 
Jeff Martin: Okay. And then if we look out over the next 12 months or so, where do you see the greatest opportunities and where do you see the greatest challenges for the business? 
Bohn Crain: Well, I think we have a lot of growth in the pipeline as we look out into 2015 and beyond, both in terms of on-boarding new agent stations as well as the M&A pipeline. We have a number of really interesting things that are kind of under the microscope right now that we're looking at, that could be really impactful out into the future and not-too-distant future, candidly. And -- but I'm particularly excited by our ability to attract new agent stations to the network. We've been at this for a while now, and for certainly in the early years, when I had the opportunity to meet with entrepreneurs, we would spend a lot of time trying to describe who Radiant was and what we were trying to accomplish. And candidly, we don't have to do that anymore. People know exactly who we are, exactly what we're trying to accomplish. And now more than ever, we're getting reverse inquiries from people seeking us out, trying to figure out how to connect and how to find their own personal on-ramp to affiliate themselves with Radiant and what we're doing. So we're really bullish about that particular avenue of growth, in part because we historically have had such a positive experience with doing that. And as we all know from a return on invested capital basis, if we're not deploying capital, but yet we're on-boarding this incremental earnings, that's a very powerful model. And hopefully, we're in the early stages of what will be another good, long-term run in being able to on-board some more of that type of growth that we experienced early on in the formation of Radiant. 
Jeff Martin: Are you seeing any movement in your transportation costs, favorably or negatively? And how does lower energy or fuel costs impact the business? 
Bohn Crain: Well, generally speaking, fuel is something that we can pass on to customers. With that said, there's certainly an underlying trend with cost of transportation going up, just as we think on the domestic side, specifically as the industry is dealing with hours of service in the regulatory framework, in the aging of drivers and just a general tightening of capacity. Most of our business is transactional in nature. So we have an opportunity to pass those costs on, on a realtime basis. In a few limited circumstances, we have some more longer-term contractual obligations on the customer side. So it may take just a little bit longer to pass those costs onto the end customer. So I think there's some -- there will, by definition, be some short-term impacts on gross margin percentages around that type of stuff. And then as market conditions allow, we'll pass those costs onto the shippers. 
Jeff Martin: Okay. And then your revenue came in a little bit above the midpoint of your guidance range; EBITDA, adjusted EBITDA was on the low end. Is there something that held EBITDA down in the quarter from what otherwise it should have been? 
Bohn Crain: We had -- when you have over 100 locations now, you end up with a little bit of -- well, not a little bit, a lot of the portfolio effect, right, and you'll get some outstanding performers and you'll get some individual underperformers. The good news, from our standpoint, as we kind of touched on this a little bit in some of our earlier comments, if we kind of take inventory, one of the areas where we were soft was in some of this global business, our global project business, which was really flowing through some of our agent stations. So the net impact to us, although we would rather -- who would rather it have been higher, the fact is the brunt of it was borne by the underlying agent station. But in aggregate, we remain very bullish. And in aggregate, the stations, in general, are as busy as they've ever been, and everybody's pretty bullish and upbeat about the prospects in coming quarters. 
Operator: The next question is from Marco Rodriguez of Stonegate Securities. 
Marco Rodriguez: Just kind of piggybacking on the last question there from Jeff. Looking at the net transportation margins, it looks like they've kind of underperformed in the quarter. And I think you guys mentioned some low-margin revenue from OTE as a main driver there. Was this, in particular, a certain type of business that OTE did that quarter, one-off type item or a mix issue, any kind of color there? 
Bohn Crain: No. On Time is one area of the business where they do have -- whereas most of our business is transactional in nature, On Time has some contractual -- some longer-term contractual obligations with a few of their customers. So they're -- it's not as easy for them to quickly pass cost on. So they're having to work through those issues at the On Time level. With that said, it's one of the -- part of the balancing act of our M&A strategy. We have the earn-out mechanism in place. So ultimately, to the extent they are separating or kind of enduring that pressure, ultimately, they bare that at the earn-out component. So we have an ultimate offset to the extent of this pressure at On Time. 
Marco Rodriguez: Understood. And then kind of moving along to your pro forma disclosures in your Q. Again, inclusive of the OTE acquisition, we're kind of looking at the year-over-year comparisons. Personnel cost looked like it moved up pretty strong in comparison to the net revenue growth. What were the drivers behind that? 
Bohn Crain: Well, on a year-over-year basis, it would be the incremental new stations, right? So on -- so ultimately, if we're looking at On Time and Philadelphia as being the 2 principal company-owned stores, we also spend some -- we've broadened the kind of the corporate staff in terms of our regional VP structure. So there's a little bit of cost in terms of the expansion of the sales organization that we put in place. But principally, the driver of personnel cost will be kind of the labor dollars associated with the company-owned stores in the field. 
Marco Rodriguez: Okay. And in fact, kind of shift here from that in terms of the sales strategy that you guys had implemented a little over a year ago. Are you guys fully ramped up there in terms of the new regional structure? And is there any sort of color on what might be implemented down the line to the sales team there? 
Bohn Crain: Just -- I mean, I think we do have the right team in place with the 3 RVPs. They're spending a lot of time out in the field helping the stations grow. We're getting some good feedback on that. Another thing that we did last year, and we just kind of came upon our first anniversary of that, is we introduced a sales recognition program, which we call the high flyers program, where we recognize individuals across the network in connection with their contribution. And that's been very well received and created what I'll call a healthy collegiate competitive environment across the various stations and sales personnel across the country. So we kind of just experienced our first year anniversary and had an event interacting with all of those folks and kind of celebrating their successes, and that's all gone well. And there's a good tone and a fair amount of smack talking going on across the network in terms of who's going to outdo who next month and next quarter. 
Operator: The next question comes from David Campbell of Thompson, Davis & Company. 
David Campbell: Just wanted to ask you regarding this additional $20 million you expect from the new agents pickup recently that you expect to have in calendar 2015. Will those revenues, the $4 million or $5 million of those revenues be in the December quarter without any profits? Is that what you're suggesting? 
Bohn Crain: Yes. Yes. 
David Campbell: And as far as gross margin on that $20 million, that will be $5 million and $6 million annually, is that about right? 
Bohn Crain: Well, I would -- let's kind of break that apart. So I think the right way to frame that question is kind of how do we think about our margins going forward, generally, and we still think of margins in call it the 27% to 28% range. So I think that is the margin -- kind of the gross margin characteristic associated with that book of business. From that, we've got to pay out the agent commissions for their proportionate share of those gross margin dollars. That would leave us with, effectively, with the net contribution from the agent stations, which is the gross margin net of the agent commissions which we're expressing as the $1 million of incremental contribution. 
David Campbell: Okay. Okay. And -- okay, so that's reasonable, I guess, to expect based upon those revenues. The gross margin percentage for the September quarter was down from the June quarter. I guess that's a mix of business, more international, less domestic or the other way around? 
Bohn Crain: I think it's a combination of things. It is international versus domestic, but then within domestic, there's some of this margin dynamic that we were describing relative to On Time. 
David Campbell: Right, right. And do you view that as a one-time happening or the On Time can recover its margins over the next 12 months? 
Bohn Crain: I think, yes, yes to be. I don't think it's a one-time and that's entirely gone. But I think On Time will certainly revert to more normalized margins over the next 12 months. 
David Campbell: Right, right. Okay. And from a cash point of view, you seem to be -- the process of building up a pretty large cash position, would you -- obviously, some acquisitions may come into the play here, but would you continue to pay down debt? Is that what you'll do in future quarters if you continue to generate a lot of cash? 
Bohn Crain: Yes. Yes, and then almost by definition, even mechanically how our revolver is structured, basically, any excess cash goes to pay down credit at any -- truly on a daily basis. So the technical answer to your question is yes. The practical answer is we expect to be out doing accretive acquisitions that are going to broaden the network and add value for our shareholders. 
David Campbell: Right. From the new agents, have you had time to figure out how much of their business will be international, how much will be domestic? Or is the -- is it not a significant change in your existing percentages? 
Bohn Crain: There are -- individually, some are more heavily domestic and others are more heavily international. I think all in all, as it happens, I think they're going to be a general proxy for our existing mix. So I don't -- I'm not envisioning a big shift out of the folks that have come on -- out of this batch that have come on. 
Todd Macomber: Yes, the dollars that we're talking about here, David, is not going to move the needle much. $20 million versus our total revenue. I can't imagine it's going to -- $20 million over the year is enough to move the needle materially. 
David Campbell: And does the $20 million include the project work acquisition that you acquired earlier in September? 
Bohn Crain: No. This $20 million that we're just talking about is directly related to these new agent stations, has nothing to do with any of our M&A. 
David Campbell: Right. And you've never released estimates of the project work acquisition you made, right? 
Bohn Crain: That's correct. 
Operator: [Operator Instructions] Our next question comes from Mark Zinski of Uniplan Investment Counsel. 
Mark Zinski: I was wondering if you could comment a little bit on your acquisition strategy, just in terms of potential end verticals, or are you looking for more domestic versus international, et cetera? 
Bohn Crain: Sure. I'll take a crack at that, and I'll try to answer it broadly, right? So we're obviously interested in making good on our brand promise and providing exit strategies for the agent stations that are currently part of our network, as well as getting opportunities with agent stations and competing networks who can't get liquidity where they are and would see value or be interested in an acquisition. So those are what would kind of fall under the category of low-hanging fruit, and those can be very impactful. We've talked about on previous calls that as we convert existing agent stations to company-owned stores, that will manifest itself as margin expansion in our own financials, and so all of that is very positive. As we kind of look out beyond the agent-based forwarding community that we focused on and kind of look beyond that to other categories, where we're interested -- we remain interested in what I'll call U.S. domiciled international freight forwarders around the country. That's always been an area of interest for us. Truck brokerage remains an area of interest for us. Customs brokerage, all of these kind of what we would call adjacent complementary non-asset-based segments of the supply chain. Those are of interest to us. Not necessarily driven by M&A, but as we kind of think about continuing to build out our sales organization and our sales strategy, I would see that taking some shape around industry verticals, but we aren't limiting our M&A aspirations to particular verticals. We have, by our nature and our portfolio, we service a very, very diversified group of industries or verticals by geography and by industry. So we think we've got a pretty broad platform where we can support a broad number of opportunities. We're probably going, at least near term, to continue to stay focused on acquisitions in North America as opposed to going offshore and acquiring something in Asia or Europe. Although over the longer term, we're interested to do those types of things, too. But at least, for the immediately foreseeable future, we're going to stay focused on North America. 
Mark Zinski: Okay. And is the international business, is that 100% Mexico or is there some Canada in there? 
Bohn Crain: There's some Canada in that as well, although most of it is -- well, let me back up. When we did some of our own internal segment reporting, we break it out between domestic and international. So international includes anything that either originates or terminates outside of the U.S. So we enjoy quite a bit of international business, either originating or terminating in Asia or Europe in connection with the U.S. That's, call it, $125 million or more of our overall revenues to date. So we do a lot of business globally in our current portfolio, but it's just not done from extensive company-owned operations. And on the M&A side, we're not expecting to necessarily run over to Asia and do a deal soon. 
Mark Zinski: So of that international growth you had year-over-year this quarter in gross revenues, was that primarily from acquisitions or was it evenly split with organic? 
Bohn Crain: No, I think it was more evenly split. Off the top of my head, I know we saw some good growth in Mexico in the cross-border, which was -- would have been same-store at this point from Laredo. And then Philly, which was a new station that we added by acquisition, they've got a healthy chunk of international in their own book of business. So there's a -- it's a little bit of both in terms of organic and acquisition, if that makes sense. 
Mark Zinski: Okay. And then can you just comment on what -- if you're seeing any new conditions with the cross-border market with Mexico? I mean, does it seem a little more robust? Are their restrictions loosening a bit? And is there generally freer trade going on now in your opinion? 
Bohn Crain: Well, from our standpoint, we're a few years into our acquisition of Isla, which was the platform for our Laredo in our cross-border business. And we saw, since our beginning of that work, we saw it soften, and now we've seen it come back pretty strongly. So our own personal wins on Laredo seems to be on the uptick from our standpoint. 
Operator: This concludes today's question-and-answer period. I will now turn the floor over to Bohn Crain for closing remarks. 
Bohn Crain: Thank you. Let me close by saying that we remain very excited with our progress and prospects here at Radiant, and we remain very bullish on the growth platform that we've created and the scalability of our non-asset-based business model.
 We continue to make good progress in executing our strategy, leveraging the Radiant platform to bring value to our operating partners. And we remain very excited about the opportunity to grow our business organically, both on a same-store and new-store basis, and by completing acquisitions of other companies that bring critical mass from a geographic standpoint, incremental purchasing power and/or complementary service offerings, which will benefit the broader network.
 At the right place, at the right time, with the right value proposition, we look forward to reporting further progress in terms of both organic and acquisition initiatives in the not-too-distant future.
 Thanks for listening and your support of Radiant Logistics. 
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect your lines at this time.